Operator: Good day, and welcome to the Trupanion First Quarter 2024 Earnings Call. 
 [Operator Instructions] 
 Please note, this event is being recorded. I would now like to turn the conference over to Laura Bainbridge, Senior Vice President of Corporate Communications. Please go ahead. 
Laura Bainbridge: Good afternoon, and welcome to Trupanion's First Quarter 2024 Financial Results Conference Call. Participating on today's call are Darryl Rawlings, Chief Executive Officer and Chair of the Board; Margi Tooth, President; and Fawwad Qureshi, Chief Financial Officer. For ease of reference, we've included a slide presentation to accompany today's discussion, which will be made available on our Investor Relations website under our quarterly earnings tab. Before we begin, please be advised that remarks today contain forward-looking statements. All statements other than statements of historical facts are forward-looking statements. These include, but are not limited to, statements regarding our future operations, opportunities and financial performance, our ability to remediate our material weaknesses and the company's CEO succession efforts. These statements involve a high degree of known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed. 
 A detailed discussion of these and other risks and uncertainties are included in today's earnings release as well as the company's most recent reports on Forms 10-K and 8-K filed with the Securities and Exchange Commission. Today's presentation contains references to non-GAAP financial measures that management uses to evaluate the company's performance, including, without limitation, variable expenses, fixed expenses, adjusted operating income, acquisition costs, internal rate of return, adjusted EBITDA and free cash flow. When we use the term adjusted operating income or margin, it is intended to refer to our non-GAAP operating income or margin before new pet acquisition and development expenses. Unless otherwise noted, margins and expenses will be presented on a non-GAAP basis, which excludes stock-based compensation expense and depreciation expense. 
 These non-GAAP measures are in addition to and not a substitute for measures of financial performance prepared in accordance with the U.S. GAAP. Investors are encouraged to review the reconciliations of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in today's press release or on Trupanion's Investor Relations website under the Quarterly Earnings tab. Lastly, I would like to remind everyone that today's conference call is also available via webcast on Trupanion's Investor Relations website. A replay will also be available on the site. With that, I'll hand the call over to Darryl. 
Darryl Rawlings: Thanks, Laura, and good afternoon. I'm honored to speak to you in my final earnings call as CEO. Today, we announced Margi's appointment as CEO effective August 1. Speaking on behalf of myself and the Board, we could not be more excited about this outcome. Today's announcement is a culmination of an involved multiyear process to identify my successor as CEO. Achieving this milestone ahead of the schedule reflects the Board's unanimous support and confidence in Margi's ability to lead Trupanion forward. In the 10 years we've worked together, Margi has shown ourselves to be a proven leader with an adept ability to manage Trupanion's growth mandate. With her at the helm, I am confident in our continued success in our large underpenetrated market. Margi's track record extends beyond her time at Trupanion. She spent over 7 years with U.K.'s largest pet insurance provider during which time the category saw tremendous growth, reaching approximately 25% penetration. She's leveraged that experience here at Trupanion, starting with specific areas of growth and expanding over time. Over the last 18 months, Margi has assumed oversight of every department at Trupanion, including overhaul in key operational areas to drive improved efficiency and performance and drive a culture of accountability, collaboration and action. 
 Since joining Trupanion, the category has grown threefold with Trupanion the largest contributor to the category's growth for 3 consecutive years. At over $1 billion in revenue today, Trupanion is the largest player in North America. The veterinary community is the heart of our growth model and our territory partners are an important link to that community. Margi, having wanted to be a veterinarian herself holds great admiration for this community and her understanding of our approach to market has strengthened our ties. Through our strong growth, Margi has led the team in deploying increasing amounts of capital at consistently strong internal rates of return. When Margi joined Trupanion, the funds we had to invest in new pet acquisition, what we now call our adjusted operating income was just about $4 million. Since then, we've grown our adjusted operating income to over $80 million last year. Beyond the numbers, however, and most important to me is Margi's character. At Trupanion, we are nimble and courageous, curious and caring. We do what we say, we care for one another. And we simply work harder than most. 
 Margi is all of these things. In short, she personifies the culture of Trupanion. Over the past several years, Margi has come to lead our over 1,500 global team members. She has done so with compassion, humility, leads with trust and is willing to make tough decisions when they need to be made. There is no one I trust more to lead Trupanion into our next phase of growth. It has been my privilege to serve as a resource to her over the past decade. As we've previously communicated, I am committed to continuing to serve as Chair on the Board for the next 10 years, if agreeable to shareholders. Margi coatis this year's shareholder letter, which was published just a few weeks ago. For those that have not done so, we encourage you to read it as it provides more insights into how we think and act at Trupanion. This letter can be found on our Investor Relations website. With that, I'll hand it over to Margi to walk through the performance of the business. 
Margaret Tooth: Thank you, Darryl. Good afternoon, everyone. Let me begin by saying what an honor it is to be appointed CEO of Trupanion. Trupanion's mission to help pet parents budget and care for their pets is one that resonates with me deeply. Since joining Trupanion over 10 years ago, I've seen our mission brought to life through the dedication of our team. It is truly inspiring to work alongside such passionate people in support of our members every hour of the day and every day of the year. Together, in lockstep with the veterinary industry, we're making a meaningful impact by supporting over 1.7 million pets, paying out over $2 million in veterinary invoices daily and helping tens of thousands of veterinarians practice life-saving veterinary care, and we're just getting started. Despite our long history, we really are just scratching the surface with less than 5% of pets insured in North America and an equally low number across most of Europe, there is so much more we can do to support pet parents and veterinarians globally to help pets receive the care they need. Today, Trupanion is placed at the forefront of an exciting growth story. I'm honored and humbled to lead Japan on this journey. I'm grateful for the continued support from Darryl and the Board and look forward to our partnership moving forward. 
 With that, I'll now discuss our performance overview for the first quarter of the year. Total revenue grew 19% in the quarter. Our subscription revenue grew even faster at 22% year-over-year and with our core Japan brand, the primary driver behind this growth. Our total adjusted operating income or the amount of funds we have available to invest in growth increased 37% year-over-year. Once again, adjusted operating income for our subscription business outpaced its total, increasing over 55% compared to the prior year period. Our PAC spend was highly efficient in the quarter. We reduced our investment in pet acquisition by 23%, and yet our gross pet adds declined just 9% year-over-year. In total, we acquired over 67,000 pets at an estimated internal rate of return of 44%. As expected, our revenue growth for the quarter was largely increased by a revenue contribution from pricing actions taken over the past 18 months. This translated into total ARPU growth of 9.8% across our subscription business, the highest level since we became public 10 years ago. Within our core Trupanion brand, the average monthly increase in ARPU was even higher at 11% year-over-year. 
 Against this backdrop of significant pricing increases flowing through to our members, the team has doubled down on communicating Trupanion's value proposition. To date, our efforts have yielded good outcomes. Over the last 12 months, over 40% of our book has received a pricing increase of 20% or more. Average monthly retention within this group was strong in the quarter and up year-over-year. This is a testament to the value our members place in the service Trupanion provides, along with the team's ability to communicate our value proposition and the why behind our actions. Moving to the second component of our revenue growth, adding new pets. Our total enrolled subscription pets increased 11% in the quarter. We expect the balance between ARPU increases and growth in subscription pets to be maintained in the near term as we continue down the path of restoring margins before increasing the pace of growth within our subscription business. The team has been consistently making progress against this mandate as reflected in our year-over-year results. Compared to our 8-year low in Q1 of last year, our subscription adjusted operating margin expanded 210 basis points in the quarter. As expected, this is down from quarter 4 of last year, mirroring the behavior of vets typically raising their prices early in the year. 
 In aggregate, our operating assumption of 15% veterinary inflation proved sufficient in the first quarter. For veterinarians, charging sustainable rates is necessary to provide our pets with the care they deserve, and we stand behind them offering a product designed to align the needs of pet parents and veterinarians alike. As the cost of veterinary care continues to rise, outpacing consumer discretionary income, the need for high-quality and dependable pet insurance solutions continues with it. This dynamic underscores the importance of having a lifetime solution that enables pet parents to budget effectively and offers reliable coverage. Trupanion stands out in the industry, offering the only lifetime product, providing pet parents with complete peace of mind and coverage for life come what may. With this in mind, it's especially important for us to align our growth strategy with accurate pricing. And although our desire is to assist every pet, we must continue to be highly disciplined in our growth approach. To that end, we will not put our foot on the accelerator more aggressively to add more pets until we see greater strength in our margin. We know this creates the best, most consistent and positive member experience and avoids rates being abruptly increased. 
 We're committed to maintaining this approach and are encouraged by ARPU trends and conversion improvements at this early point in the year and look forward to expanding our pace of growth when margins allow. In terms of Pets, our core Trupanion brand represented the bulk of the new pet growth in the quarter as we continue to focus on growth in areas that are most closely aligned to our targeted value proposition. Our newer initiatives, including our powered buy suite of products with Chewy and Aflac, our medium and low ARPU products, Furkin and PHI Direct and our products in Continental Europe comprised approximately 22% of our gross new pet and in the quarter, up from quarter 4 and over 20% for the first time since we launched these products. We will continue to deploy a conservative amount of capital against these opportunities given these products are early in their life cycle and subscale. However, it should be noted that we've made some encouraging progress in Furkin and PHI Direct with evidence of scale beginning to manifest. As our margins expand meaningfully into the second half of this year, we will look to adopt a more assertive approach in deploying our capital. 
 In our large underpenetrated market, this remains our overarching mandate, we will do so prudently, however, gradually scaling up our acquisition spend as margins expand. In summary, I'm pleased with our quarter 1 results, which aligned with our expectations and were delivered through solid execution. This is a testament to the ongoing discipline and focus of the team. We're committed to maintaining this discipline while fulfilling our mission of supporting more pets and veterinarians. I'm excited about the future and the tremendous opportunities that lie ahead. With that, I'll hand it over to Fawwad to provide a detailed overview of our Q1 results. 
Fawwad Qureshi: Thanks, Margi. Today, I will share additional details around our first quarter performance as well as provide our outlook for the second quarter and full year 2024. At a high level, I'll echo Marty's comments that it was a solid start to the year. Total revenue for the quarter was $306.1 million, up 19% year-over-year. Within our subscription business, revenue was $201.1 million, up 22% year-over-year. Total subscription pets increased 11% year-over-year to over 1,006,000 pets as of March 31. This includes approximately 43,000 pets in Europe, which are currently underwritten by third-party underwriters. Total monthly average revenue per pet for the quarter was $69.79 up 9.8% over the prior year period. The subscription business cost of paying veterinary invoices was $151.5 million, resulting in a value proposition of 75.3% and reflects a 225 basis point improvement over the prior year period. This improvement provides a clear representation of the actions we have taken to repair our margins, and we are pleased with this progress. Due to the seasonality of that pricing we highlighted earlier and last quarter, the cost of veterinary invoices as a percent of revenue increased 260 basis points from Q4. 
 Our target value proposition for our subscription business remains 71%, and we expect to close the gap to our target by year-end. As a percentage of subscription revenue, variable expenses were 9.6%, down from 10.1% a year ago. Fixed expenses as a percentage of revenue were 5.3%, up from 4.7% in the prior year period due to increases in our technology and G&A expenses, including additional expenses incurred related to the remediation of our material weaknesses. After the cost of paying veterinary invoices, variable expenses and fixed expenses, we calculate our adjusted operating income. Our subscription business delivered adjusted operating income of $19.6 million, an increase of 55% from last year. Subscription adjusted operating margin was 9.7% of subscription revenue. This is up from 7.6% in the prior year quarter and represents approximately 210 basis points of year-over-year margin expansion. Now I'll turn to our other business segment, which is comprised of revenue from our other products and services that generally have a B2B component and a different margin profile than our subscription business. 
 Our other business revenue was $105 million for the quarter, an increase of 15% year-over-year. Adjusted operating income for this segment was $1.7 million, a decrease of 41% from last year. The decrease was driven by the previously mentioned increase in fixed expenses and a lower gross margin. In total, adjusted operating income was $21.3 million in Q1, in line with our expectations. This was up 37% from Q1 last year, but down 22% from Q4. In Q1, our higher-value subscription business comprised approximately 92% of our adjusted operating income in the quarter. This is up from 84% for the full year in 2023. We expect this trend to continue as one of our partners in our other business, Pets Best, continues to enroll pets with their new underwriter. During the quarter, we deployed $15 million to acquire approximately 67,200 new subscription pets. Excluding the approximate 3,900 new European bets that are underwritten by a third party, this translated into an average pet acquisition cost of $207 per pet in the quarter, down from $247 in the prior year period and $217 in Q4. 
 We also invested $1.2 million in the quarter in development costs. Stock-based compensation expense was $7.4 million during the quarter. As a result, net loss was $6.9 million or a loss of $0.16 per basic and diluted share compared to a loss of $24.8 million or a loss of $0.60 per basic and diluted share in the prior year period. In terms of cash flow, operating cash flow was $2.4 million in the quarter compared to a negative $6.9 million in the prior year period. Capital expenditures totaled $3.1 million. As a result, free cash flow was a negative $0.6 million, an $11.4 million improvement from the prior year's first quarter. Similar to our AOI, our free cash flow is impacted by the seasonal fluctuations we have discussed. It is for this reason, we have set an annual free cash flow target at 2.5% of revenue. We believe this is a prudent amount given the strength of our capital position and our desire to grow in such a large underpenetrated global market. Turning to the balance sheet. We ended the quarter with $275.2 million in cash and short-term investments. Outside of our insurance entities, we held $38.1 million in cash and short-term investments with an additional $15 million available under our credit facility. 
 At the end of the quarter, we maintained $256.7 million of capital surplus at our insurance subsidiaries, which was $103.4 million more than the estimated risk-based capital requirement of $153.3 million. This is down from our year-end requirements as growth in our other business slows and the capital intensity of our business is lowered. Last quarter, we reported 2 material weaknesses as a result of the 2023 audit. In response to this, we have made investments in internal controls, technology and SOX compliance. We have also hired PwC to assist us in the remediation of these material weaknesses and we are making progress in addressing these deficiencies. We will look to regain more efficiency in our fixed expenses throughout the year while balancing our continued remediation efforts in earnest. I'll now turn to our outlook. We are updating our full year revenue guidance, which is now expected to be in the range of $1.244 billion to $1.276 billion or 14% growth at the midpoint. This takes into account our slight overperformance in Q1. We continue to expect to grow subscription revenue in the range of $842 million to $862 million, representing 20% year-over-year growth at the midpoint. 
 We also continue to expect total adjusted operating income to be in the range of $100 million to $120 million or 32% year-over-year growth at the midpoint. As we think about the shape of the year, we expect that the first half of the year will start from a lower margin standpoint within our subscription business and build back to a 15% adjusted operating margin by Q4 of this year. Second, for the second quarter of 2024, total revenues are expected to be in the range of $306 million to $311 million, representing 14% year-over-year growth at the midpoint. Subscription revenue is expected to be in the range of $206 million to $208 million or 20% year-over-year growth at the midpoint. Total adjusted operating income is expected to be in the range of $21 million to $23 million. As a reminder, our revenue projections are subject to conversion rate movements predominantly between the U.S. and Canadian currencies. For the second quarter and full year of 2024, we used a 74% conversion rate in our projections, which was the approximate rate at the end of March. With that, I'll hand it back to Margi. 
Margaret Tooth: Thank you, Fawwad. This weekend, Darryl and I will be joined by Fowwad in Omaha for our annual Q&A to follow Berkshire Hathaway's Annual Shareholder Meeting. This is an event I personally look forward to every year and one that presents a unique opportunity to meet with long-term-minded investors. We hope to see many of you there. Now before we open for questions, I'd like to take a moment to pay tribute to Darryl. Since the development of the Trupanion idea nearly 40 years ago, Darryl has been an exceptional visionary, entrepreneur and leader. He has also been a brilliant coach to many, not least to me. I am deeply humbled to be appointed or to successor and to follow in his foot steps. I'm proud to lead the company and a team that has such a profound significance for so many. Looking ahead, as we continue to grow and expand our reach on products in support of pet parents globally, Darryl has agreed to further develop the early work around our food initiative. On behalf of the Trupanion community everywhere. Thank you, Darryl, for your mentorship, support and the impact you've made across the world of Animal Health. With that, we'll open it up to questions. 
Operator: [Operator Instructions] 
 The first question comes from Jian Li with Evercore ISI. 
Jian Li: Great. Congratulations on your appointment. Darryl we'll certainly miss you. So Margi, first, maybe just on the high level, you've been with Trupanion for quite a while now. In this new capacity, like how would you -- how does your focus on priorities evolve? Like if you can talk about the key areas that you'd be focused on in the next 6 to 12 months? It sounds like profitability is a big focus for you. So if you can kind of talk through that a little bit? And then the second question for a on the macro environment. Anything you're seeing in the macro environment that's impacting your retention impacting the pricing flow through? And you can -- and what kind of assumption is baked into your full year guide and also the, I guess, the trajectory the linearity of your margins? 
Margaret Tooth: So just to pick up on the focus on priorities, I think during my time at Trupanion and I came in really very heavily focused on the growth side of things and initially kind of started very close to both the website and also their territory partners. They're working with our core foundational pillar of what makes Trupanion unique. That really has been where I continue to focus. And I think over the long haul, that will always be kind of the mainstay for the company in such a highly underpenetrated market. That said, to your point, really kind of where we're at now, the size of the company, it's about ensuring that we are operating within our core guardrails for every element of our P&L, ensuring that we can get scale and maintain that scale for years to come. So I'm very excited by what the team has been able to create so far and look forward to being able to move the business forward in that direction. 
Fawwad Qureshi: Yes. Thank you for the question. So the way we think about the annual plan and what's baked into the guidance is really 3 key components that we're focused on as a leadership team. The first is pricing, as you mentioned. The second is, of course, expense management as we think about higher costs related to some of the remediation work that we've embedded in and then retention. So yes, I would say at a macro level, what we baked into our forecast was 15% inflation. And at least from a Q1 perspective, that assumption was validated. So when we look at our expectation for where we were going to end up on subscription cost of pain voices we came in pretty much on target. So that gives us a data point or a proof point to then model out the rest of the year. If I think about the guidance, the endpoint of the guidance is Q4, and so the objective sort of the North Star for us is to get to our target margin from a subscription cost revenue at 71%. 
 And then, of course, our adjusted operating income subscription at 15%. So what we have assumed is a gradual build back to that over the course of the year and very similar to what we saw in the first half of last year, where there was a modest margin improvement from Q1 to Q2. Typically, in Q1, that will put in price increases, so those then flow through. And then we see acceleration of margin expansion in the second half, but that's effectively where we're modeling into our guidance, both for Q2 and then for full year. Obviously, we're vigilant when it comes to thinking about macro and one of the beneficiaries of the company having a lot of data as we were able to use that to try and be as predictive as possible. And so when we think about pricing and the efficacy of our pricing efforts, it's very much grounded in the data that we're seeing. So I would say, so far so good, we're not seeing anything surprising, but obviously, more to come as the year progresses. 
Operator: The next question comes from Joshua Shanker with Bank of America. 
Joshua Shanker: A few items on medical loss ratio. You talked about the seasonality of the medical loss ratio in the first quarter. Can you talk about when you think about the annual seasonality patterns, how much do you think in a normal year, the first quarter loss ratio should be elevated versus the remainder of the year? 
Fawwad Qureshi: Yes, this is Fawwad. I'll take that question. I think the assumption that we've baked in, as you can see from the actual is about 2.6% sequential increase from Q4 to Q1. I think if you go back and look historically, that's not dissimilar to what we've seen in terms of patterns. The other thing that I would ground is -- or that we grounded in is free cash flow. So when we look at free cash flow projection, we talked about it back in Q4. Generally, second half is higher than first half. So our expectation is that loss ratio will peak as it typically does in Q1 and then gradually reduce down to the 71% model P&L. Generally, though, you see flat Q1 to Q2. From a margin perspective, we see modest improvement and then really the bulk of it happens in the second half. 
Margaret Tooth: I can add to that as well. Just as we think about that flow of rate and it comes through, the reason for that slightly delayed margin expansion typically in the year is because of the rates, the prices go up in the first quarter of the year at the veterinary level. And then what happens is the visit patterns, so people are actually going to the vets and starting to see those invoices and realizing those invoices. That takes a little bit of time to flow through the year. So by the time you get to Q2, you're really kind of seeing that peak visit pattern as well. So there's a little bit of a slope up until the half of the year and then you start to see the loss ratio start to come in as it matches with the prices that we're getting from invoices. 
Joshua Shanker: In 1Q '22, the subscription medical loss ratio was 71.1% and now it's 75.3%. So it's expanded by about 400 basis points over the past 2 years through a lot of inflation and followed by a lot of prices. Can you talk about whether that squares with what you look at as the loss cost trend increases over the past 2 years and how much price action you've taken. 
Fawwad Qureshi: Yes. I think that's a good thing to anchor to. So if you look at -- to the extent we get to call it a normal year, I think calendar year 2022, I think you're right to cite that. We look at the same data and to your point, hitting target margin by Q4. This is obviously a little bit different situation and that we're coming off of a higher peak and then a more accelerated drop to that level in the second half. I would expect that eventually the model would get us -- if we achieve the model on an annual basis, it's going to look more like 2022. The thing we don't know to the earlier point is inflation. So it's going to take time for us to determine is 15% the new normal or more from a historical context back in 2022 might have been mid-single digits. Ultimately, we'll get into equilibrium because our price, if we're successful with the increases, we'll just index to the rate of inflation. But obviously, right now, we're playing catch up. 
Margaret Tooth: And just a quick if we go back in time, Josh, to that Q1 of 2022. So that was where everything in our -- in everyone's eyes was normal. We saw our usual Q1 entry into the year with a pricing increase of between 6% and 7% coming from bets. What we didn't anticipate within seeing it again in Q2, in Q3 and Q4. So what that culminated through the year was a 12% total increase year-over-year by the time we got to the 31st of December, we started to put those prices through in the midpoint of 2022. But by the end of the year, we were playing nice catch-up. So we didn't see a huge shift by Q1 of '23. We assumed 12% inflation, which, again, at that point, was double the average. It went to 15%. We then started to price again to get that 15% through playing catch up off the back of the prior year and now the new year. And now we've seen consistency again. So the really good thing about consistency is it doesn't create any volatility in the pricing pattern than the behaviors and cadence of our pricing and rates that we're asking for. So now we've got the consistency. We're in a place where if it holds at 15% to one's point, then the overall loss ratio starts to come down over time as we get -- there's less of a jump from one to the other. You still have a jump from Q4 to Q1 by 400 basis points. So that's what we're taking into account in that first quarter shift, but we expect our loss ratio to come through and as Fawwad mentioned, by the end of the year, in Q4, we expect to be at 15%. 
Joshua Shanker: And just to underscore that, thanks for indulging me. So 12% and 15% on tape, that's about 28%, 29% compound over 2 years. Is it wrong to say that earned price increases have been about 24%, 25% over the last 24 months? 
Margaret Tooth: No, that's about right. Yes. I mean in terms of the way that the pricing is flowing through the book of business, yes. 
Operator: The next question comes from Maria Ripps with Canaccord Genuity. 
Maria Ripps: Margi, congrats on your new role and there all best of luck with your next chapter. First, I just wanted to sort of follow up on your adjusted pre income in the quarter. So it seems like with a slightly higher subscription revenue in the quarter. Adjusted OI was sort of marginally below the midpoint of your guidance. I mean, it's not a big delta, but given that investors are so focused on this metric right now. Sort of any color you can share on what kind of drove that delta versus your guidance, especially given that seems like inflation was sort of in line with your expectations. 
Fawwad Qureshi: Yes. Thanks for the question. There was really one principal driver, and that had to do with higher technology costs. So when we were forecasting the quarter from a technology perspective. There's more work that was needed on sustaining for our digital transformation, our vision platform. So technology cost was the principal driver. So it was higher OpEx. It was the same from a cash perspective, lower CapEx. As you think about the rest of the year, the bigger factor will be from a fixed expense perspective, the cost of remediation. In my prepared remarks, I mentioned that we had brought on PwC. So that's something that obviously we're taking extremely seriously and putting significant investment behind, which is driving our fixed expenses higher. It didn't have as big an impact on Q1. It will have bigger impacts as we roll through the year. And as we mentioned at the onset, our objective is to get to our target margin across the entirety of the P&L and obviously inclusive of AUM. So we're going to have to find productivity and efficiency within our fixed spend. The good news is the company has done that many times before, and we're trying to be very surgical about where we drive those efficiencies -- but from a Q1 perspective, it was largely the additional expense in technology. 
Maria Ripps: Got it. That makes sense to -- and then kind of a bigger picture question. In your shareholder letter, you are drawing sort of parallels with auto insurance. Could you maybe expand a little bit on sort of key differences and similarities between pet and auto insurance as it relates to sort of this recent inflation dynamics. And with Progressive and Allstate share prices sort of trading at all-time highs, sort of while your share price is not factoring a lot of recovery. What do you think is driving sort of this gap in investor perception or investor expectations? 
Fawwad Qureshi: From my opinion, the auto insurance companies, which have been around for a long time, have credit and their investor base understands that if their cost goes up, that with a period of time, they'll recoup their margins. It happens in all lines of insurance. In fact, regulatory bodies require it. I think we are in a newer category and the investor base thought that our margins may continue to go down. When the inflation hit for auto insurance, it was a combination of their cost of materials, the cost of a bumper as well as the labor cost coming out of COVID for the veterinary world is primarily driven by cost of labor, and that is why we expect our inflation to remain at heightened levels at 15% for multiple years. 
 And it kind of goes back to some of the earlier questions. Historically, bed inflation has been 5% to 6% and the difference between our Q1 and Q4 is about 100 to maximum 200 basis point swings. But when you have 15% inflation and most of that hits in Q1, the difference between Q1 and Q4 is going to be about 500 to 600 basis points, and that should be the natural shape of this year or the seasonality as long as that inflation stays at 15%. If you look at the fact that our subscription margin went up 55% year-over-year. If you look at the fact that our ARPU is up on our Trupanion subscription 11%, we're starting to see the impact of all those rates flowing through. And it's just a matter of time until the margins fully expand and the investor base gains that confidence. 
Operator: The next question comes from Jon Block with Stifel. 
Jonathan Block: Just to start, the 1Q 24 gross adds, I think you said down 9% year-over-year. I don't think there's been any growth now on an LTM basis. And I get it, greater scrutiny on the PAC deployment until the MLR improves. What are the plans for the MLR? I thought I heard close the gap on 71% by year-end. I thought that used to be that you would get there by year-end '24. So did that change? And then if it did, when will you recapture the main goal, which is 71%. And importantly, in the interim, do we just think about a company that is going to lose, call it, significant market share during that time? And then I'll ask my follow-up. 
Fawwad Qureshi: Sure. Thanks for the question. I can't speak about market share. I'll let others chime in on that. But just to make -- just to clarify no, nothing has changed. Our expectation is to hit 71% by Q4. Obviously, we're not satisfied with that because everything we've talked about first half versus second half and a typical year, but that's our objective hasn't changed. 
Margaret Tooth: Jon, it's oyjust to touch on the growth of the market share side of things. So as we look at our growth year-over-year, to your point, yes, it has gone down 9%. The PAC has come down 23%. So significant efficiencies there. But in terms of the category overall, the reports have come out from out recently, which have indicated a total category growth of just under 22%. All that growth Trupanion was 26.5%. So I think in terms of market share, ultimately, there's a huge market out there. We are just over 3% penetrated. We crossed $4 billion as a category for the first time, which is great purely demonstrates there's a massive opportunity out there for us. And as we start to see our margins expand, we will put the foot on the accelerator in terms of our overall pet acquisition, and we'll start to see that number moving in the right direction. At this point, everything is exactly where we'd expect it to be at this time of the year. 
Jonathan Block: Okay. Look, I get it. I just -- again, for what I heard close the gap, not 71, you clean that up. And Margi, I guess on the 3%. But clearly, there's a TAM and there was a Sam, and I don't think the SAM is 3%. But maybe just shift to the second question, and I apologize in advance for the next question, but I do think it's important. Margi, since taking over as sole President, the stock's down over 70%, the market is up 12%. And to be fair, inflation is taken off during that time, I get it. It's been a big headwind. There are no other pure plays to compare to -- but this has really been a painful time for shareholders. You're losing share they just mentioned the MLR is stubbornly high. New products under that 6-month plan just taking much longer to launch. So can we just get pretty granular as CEO, congratulations. What are the top 2 or 3 things? Let's just isolate the top 2 or 3 priorities that you have in front of you that investors should focus on when we think about turning things around over the next 12 months? 
Margaret Tooth: Yes, yes. No, sure. Thanks, Jon. So I think, first and foremost, it's really continuing the work the teams have been doing for the last year, which has been doubling down the margin focus. So Q1 year-over-year, we've talked about a 55% subscription AOC growth. And I'm really pleased to see that come through at that level. And I think that's a testament to the fact that we're focusing. And we will continue to focus on as our top priority on how do you continue that expansion of margin, which is making sure we're priced effectively, which is making sure that we're helping our members understand the value proposition, which pushes into retention. Member experience is always absolutely sacrosanct to us, and that goes hand-in-hand with our margin expansion. So we'll continue that focus. In terms of growth at that point, it comes down to where do we most effectively deploy the capital that we have. As that starts to grow, the pool and distribution channels that were part of that 6-month plan really are expanding, which allow us to dip into more opportunities than we could have done before. 
 Doing that diligently, we're not just going to suddenly turn everything on at once. We'll make sure that we eke that margin out to ensure that we get the best internal rates of return. And that may be in North America, it might be on a new product. It might also be in Europe. -- we didn't have those opportunities before and pleased that we have those now. And really then just ensuring that from a overall margins across the business, operating within our guardrails that we set, not just for our growth metrics, but also our loss ratio, our fixed expenses, our operational expenses. Each one of those has to be in the right spot to be able to scale. So it's about getting us ready for the long-term growth. But I think the ultimate priority for us moving forward is making sure that margin is where we need it to be and expect it to be as we continue through the rest of the year. Hopefully, that answers your question. 
Operator: The next question comes from John Barnidge with Piper Sandler. 
John Barnidge: My first question, can you talk about the opportunity for the food initiatives that you'll be involved in Darryl. What do you view as a TAM there? Is going to retain 100% control? And will those expenses flow through the other business? 
Darryl Rawlings: Well, we first talked about our food initiative in our 60-month plan. It's still very early days. We believe it is a very large TAM. If we get to 25% market penetration on insurance, 100% of pets are eating food. And we think we're in a unique position to understand the health outcomes. That's what we're focused on, but we don't have any promises on how -- when it's going to hit the P&L or where it will be flowing through. So it's early days. 
John Barnidge: Okay. And then my follow-up question, -- can you talk about the growth in capital in excess of the minimum during the quarter? It looked like it went to 103.4% from 64.1%. With growth slowing, should this continue to build as the year progresses? 
Fawwad Qureshi: Yes. Thanks for the question. Yes, so the way we look at it, the excess capital or the overcapitalization with the insurance entities, it's driven by 2 things. As I think one is, as the business continues to grow from a subscription perspective, we contribute to that pool of capital. And then the other is the dynamic of Pets bets rolling off. So Pets Best and it's been talked about in the past, the capital intensity of that business is higher. And so as that business -- as that growth rate begins to diminish and then ultimately, it goes into secular decline, -- it frees up capital. So a good portion of the $24 million increase in capital, again, above the minimum requirement was due to that dynamic. We look at it as a positive for a couple of reasons. I think, one, it gives us the capital to add more policies. So we now have the financial wherewithal to grow the subscription business where we see opportunities that meet our guardrails. 
 The second is, obviously, it contributes to the RBC requirements. Those requirements are things that we pay close attention to. We've had very, I'd say, productive conversations with New York DFS. And then the third is a dynamic that I think we've all seen over the last year, and that's just that interest rates continue to remain elevated, at least where they were from a historical perspective. And that is now generating cash. And as you saw in Q4, we took an ordinary dividend that was interest accrued on that cash. So there's utility in us having that. We've continued to discuss with New York DFS. I think they're open to the idea of us continuing to take ordinary dividends. So certainly, I would expect that to grow in proportion to the growth rate of our business, but the capital intensity of it because of the pet's best roll-off will diminish. 
Operator: The next question comes from Katie Sakys with Autonomous Research. 
Katie Sakys: Margi both congratulations on your respective new roles. I want to clarify some things on the invoice ratio first across both subscription and other pets. I think about a year ago, we were talking about somewhere in the field of like 1 point of adverse development on that invoice ratio. And I just wanted to check in with you guys to see if there's any similar degree of revision included in this quarter's invoice ratio? And more broadly, if you could give us some color as to how you're feeling about the past year's loss picks holding in, that would be much appreciated. 
Fawwad Qureshi: Sure. I just want to make sure that we got the question right, so we can answer it. I think you're talking about loss ratio and the trend. I think one of the things -- I would refer back to what we said on subscription. I think one of the things we didn't talk about is loss ratio was elevated in Q1 related to the other business related to Fespest. And that's due to the same phenomenon that we've been seeing within our subscription business where rates are now being pushed through. And that's now manifesting in a higher loss ratio from a Pet's perspective. The nature of our agreement is that it's less sensitive. So from a Trupanion perspective, we're less concerned about that. So I would say that, that increase in loss ratio that they're seeing is effectively the same thing that we saw, and we're putting pricing through as a result in response to that. 
Margaret Tooth: And Kate, just in terms of our reserves and our ABR, we did release a little reserve in the quarter just related to the much older claims that we've been holding back reserves for the beauty of having the vet direct pay model where we pay those invoices directly is that we see a lot less development in those over time, and we're able to release that reserve, which I think could be where your question was aiming. 
Fawwad Qureshi: Yes. And if it's helpful, I can give you a little bit more context specific on the reserves. So if you look at reserve as a percent of revenue across the total book, it was down. It was down sequentially from 21.4% to 20.3%. But if you look at it year-over-year, a year ago, it was $18.8 million -- so there were some elevated claims that were paid from elevated claims in Q4 that were paid in Q1. So we feel comfortable of bringing the reserve down. But had you indexed that $18.8 million versus 20.3% with a 5.6% increase in pet count. So we feel relatively good that reserve and revisions to reserve or unchanged. 
Katie Sakys: Okay. That's helpful clarification. And then maybe turning to growth metrics. I think the deceleration in other pet enrolled is to be expected in the context of the pet business agreement changes. But I was just wondering, are there any positive growth trends in that segment that are being masked the pet's best shift? 
Fawwad Qureshi: I think the only thing I would refer to there is probably ARPU. I mean, back to my earlier comments that they're seeing increased ARPU and the ability to pass on price to consumers. So I would say very similar to what we're seeing. If you're asking about the overall adjusted operating margin change and why it went down, there's 2 reasons for that. One is we're now under the new agreement. And that new agreement has different revenue tiers. And so as the business is declining, we're no longer kicking in those revenue tiers. And the other, as I mentioned earlier, was higher fixed expenses related in part to remediation and some of the technology costs. If you look at those in conjunction, that's the driver, so to the 1.6% that we saw in Q1. I would expect if you were thinking about it going forward that that is the new normal for -- in terms of profitability of that business, somewhere between 1.5 and 1.7 is what we're thinking is forecast for balance of the year. 
Operator: The next question comes from Wilma Burdis with Raymond James. 
Wilma Jackson Burdis: Congratulations to Margi and also to Darryl. A couple of quick questions for you guys. First, can you talk about the trajectory of adjusted operating income throughout 2024. Trupanion appears on track for $43 million in the first half of the year, which implies about $70 million of adjusted operating income in the second half of the year to hit the guidance of $100 million to $120 million for '24. Can you just talk about the pieces to get there to that higher level in the second half of the year? 
Fawwad Qureshi: Sure. The primary driver is pricing and pricing flowing through the book. So if you compare and just look at adjusted operating margin, it's up about in the range of $200 to 450. And that is entirely driven by margin expansion through pricing. I would expect sequential improvement. I think to my earlier comment, the Q1 to Q2 largely flat from a margin perspective and then an acceleration in the back half of the year. 
Wilma Jackson Burdis: Okay. And then second question, could you talk about  the higher ARPU in the other business? Should we expect a similar growth rate in pricing going forward? 
Fawwad Qureshi: Yes. If you look at contribution to revenue, so the 15.2% year-over-year increase in the other business, almost all of it was ARPU, I think up 14%, 13.9% was ARPU related. So we're getting a very small amount through pet months because these are annual contracts, total enrollments are down, but we'll see that trail off. So I would say that's largely driven by ARPU. 
Operator: This concludes our question-and-answer session and the Trupanion First Quarter 2024 Earnings Conference Call. It is now concluded. Thank you for attending today's presentation. You may now disconnect.